Operator: Thank you for standing by. My name is Amy and I will be your conference operator for today. Welcome to the Independence Realty Trust Q2 2024 Earnings Conference Call. [Operator Instructions] I would like to now turn the call over to Maddy Zimba. You may begin.
Maddy Zimba: Thank you and good morning, everyone. Thank you for joining us to review Independence Realty Trust second quarter 2024 financial results. On the call with me today are Scott Schaeffer, Chief Executive Officer; Mike Daley, EVP of Operations and People; Jim Sebra, Chief Financial Officer; and Janice Richards, SVP of Operations. Today's call is being webcast on our website at irtliving.com. There will be a replay of the call available via webcast on our Investor Relations website and telephonically beginning at approximately 12:00 PM Eastern Time today. Before I turn the call over to Scott, I'd like to remind everyone that there may be forward-looking statements made on this call. These forward-looking statements reflect IRT's current views with respect to future events and financial performance. Actual results could differ substantially and materially from what IRT has projected. Such statements are made in good faith pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to IRT's press release, supplemental information, and filings with the SEC for factors that could affect the accuracy of our expectations or cause our future results to differ materially from those expectations. Participants may discuss non-GAAP financial measures during this call. A copy of IRT's earnings press release and supplemental information containing financial information, other statistical information, and a reconciliation of non-GAAP financial measures to the most direct comparable GAAP financial measure is attached to IRT's current report on the Form 8-K available at IRT's website under Investor Relations. IRT's other SEC filings are also available through this link. IRT does not undertake to update forward-looking statements on this call or with respect to matters described herein, except as may be required by law. With that, it's my pleasure to turn the call over to Scott Schaeffer.
Scott Schaeffer : Thank you for joining us this morning. Our second quarter results highlight our strategy to drive occupancy through stronger resident retention along with higher lead volume for new leases, while continuing to prudently manage our expenses. Specifically, we delivered an increase of 120 basis points in average occupancy to 95.4% in the second quarter with lease-over-lease effective rental rate growth of 3.5% for lease renewals and resident retention at 55.8%. As of July 30, same-store occupancy was 95.6%, with July lease renewal trade-outs at 2.9% and total resident retention at 55.4%. Mike will provide more detail on our operational metrics momentarily. We are pleased with our team's ability to manage operating expenses, along with a notable decline in bad debt expense during the second quarter. Later on this call, Jim will provide an update on our expense outlook, particularly the recent renewal of our insurance policies and our current view for 2024 real estate tax expense. Looking at the broader market, we are in the midst of a transitionary period as supply and demand levels are rebalancing across our portfolio and are expected to improve further in the back half of 2024 and into 2025. While the second quarter continued to see pressure from new deliveries, it was matched by strong demand as apartment absorption outpaced historical levels. By the fourth quarter of 2024, CoStar reports that delivery should slow to about 60 basis points of inventory with 2025 new supply deliveries expected to decline further to a quarterly average of 50 basis points of our submarkets inventories. As we look across our portfolio, the Midwest continues to have a limited supply pipeline and we do not see that changing over the coming months. We still expect to experience new supply across some of our Sunbelt markets, including Austin and Charlotte, Raleigh-Durham, Huntsville and Nashville. However, in these markets, employment and population growth are among the highest in the country, supporting our expectation for positive net absorption in 2025. While we have felt the increasing impact of supply pressure on rental rates this year, we expect this to ease in the second half of 2024, positioning us well going into 2025. We manage our business to deliver long-term sustainable growth and we continue to see strong fundamentals with favorable population trends and employment growth. For example, CoStar reports that for every 1 unit of new supply in our submarkets, we expect to see population growth of 6.7 people in 2025 and this increases to 9.6 people in 2026. Clearly, this will be good for IRT from both an occupancy and rental rate growth perspective. Investing in our existing communities also continues to be a key element of our strategy, especially through our value-add renovation program that focuses on improving the quality and value of our apartments. During the second quarter, we completed renovations on 378 units, achieving a weighted average return on investment of 15.7%. These efforts also continue to drive meaningful premiums as compared to unrenovated comparable units. In the second quarter, this average monthly rent increase per unit was $236 over unrenovated comps. In the second half of 2024, we expect to complete renovations on approximately 1,300 additional units, with 700 of those renovations coming in the third quarter to reach our updated full year target of approximately 2,000 units. As we've noted in the past, the number of units renovated will vary due to resident retention levels and the timing of new renovation starts. Turning to capital recycling, we plan to use the proceeds from the sale of our property in Birmingham to acquire a property in Tampa through a 1031 exchange during the third quarter. This property in Tampa is situated in an infill location with centralized access to both downtown Tampa and downtown St. Petersburg, along with easy access to the beaches along the Western Coast. Overall, we continue to be bullish on Tampa as we drive further expansion in this market to achieve future rent growth. We remain confident in the strength of our portfolio and our ability to navigate headwinds in the broader market. Looking ahead to the second half of 2024, we will continue to focus on maintaining our high occupancy and retention levels while optimizing rental rate growth and effectively managing our expenses. These efforts, along with continuing our value-add renovations and capital recycling program, as well as resetting our leverage profile will enable us to achieve our updated full year guidance and drive growth over the long term. I'll now turn the call over to Mike.
Mike Daley : Thanks, Scott. During the second quarter, we continue to operate in a dynamic macroeconomic environment with pressure from new supply and inflation on controllable expenses. With this in mind, we successfully increased occupancy and retention, which in turn resulted in lower turnover and repair and maintenance expenses in the first half of this year compared to the first half of 2023. In the second quarter, we delivered a same-store average occupancy rate of 95.4%, an increase of 120 basis points year-over-year and a resident retention rate of 55.8%, an increase of 160 basis points compared to last year. Our same-store portfolio average rental rate increased 1.6% in Q2, contributing to 3.6% year-over-year property revenue growth for the quarter. As we mentioned on our Q1 earnings call, we continue to reduce the use of concessions in the second quarter and the average concession remain the equivalent of about 2 weeks rent. For July, our highest expiration month of the year, we saw pressure from new supply and moved quickly to buy some occupancy through concessions. This has positioned us well for the balance of the year and the volume of expirations is lower, and we expect supply pressure to decline. Selective concessions are one tool, but we primarily focus on effective pricing strategies, strong sales performance and our ongoing initiatives to drive high resident retention as the basis of our efforts to sustain strong occupancy. New lease spreads were negative in the second quarter due to the continued supply pressure that Scott discussed and this continued into July. We do not expect this trend to continue as we now have only about 30% of lease expirations remaining for the rest of this year. Lease-over-lease effective rent growth for renewals in the second quarter was 3.5% and we are forecasting continued strong renewal rental rate growth for the second half of 2024. So far, for July and August, we have signed approximately 97% of our expected renewals with an effective rental rate increase of 3.6%. Occupancy remains strong. As of July 30, our full same-store occupancy was 95.6%. Similarly, occupancy at our non-value add communities as of July 30 was 95.9%. For 2024, we refined marketing strategies and increased our spend on lead generation. Lead volume for new leases is up about 25% in 2024 year-to-date compared to the same period last year. We're through the peak of leasing season and remain consistent in our prioritization of occupancy, balanced with sustainable optimized blended rent growth. As Scott reviewed in detail, we expect new supply pressure to lessen in the coming months and are well positioned both geographically and operationally to adapt to those more favorable conditions. On prior calls, we've highlighted some initiatives to leverage technology in order to increase operational efficiency and performance. We are piloting the use of AI to improve collections and reduce bad debt with fast, effective 2-way communication with residents, regarding the payment of rent and details about their account, 24 hours a day. The early results are positive and this technology is enhancing the effectiveness of our centralized resident accounts team. Finally, I would like to close my remarks by again thanking the IRT team for driving these results while progressing our strategic initiatives. This is the most intense time of year operationally for all of our employees and they continue to deliver every day for our residents and our shareholders. We are confident in our ability to deliver sustainable high performance in the second half of 2024 and over the long term. I'll now turn the call over to Jim.
James Sebra : Thanks, Mike, and good morning, everyone. Beginning with our second quarter performance update, net income available to common shareholders was $10.4 million, down slightly from $10.7 million in the second quarter of 2023. Core FFO was $63.6 million and $0.28 per share, in line with a year ago. IRT same-store NOI growth in the second quarter was 2.8%, driven by revenue growth of 3.6%. This growth was led by a 1.6% increase in average monthly rental rates to $1,555 per month and a 120 basis point increase in average occupancy to 95.4%, both as compared to Q2 of 2023. Bad debt also improved in Q2 as we continue to implement various tools to help identify fraud before it happens. During Q2, bad debt was 1.6% of revenue, down 40 basis points from 2% in Q2 of last year. On the operating expense side, IRT same-store operating expenses increased 4.9% during the quarter. This increase was primarily driven by higher advertising expenses as we increase our efforts to drive occupancy as well as higher personnel expenses. Contract service expense decreased approximately 1% in the quarter, while repairs and maintenance expenses increased 8% due to the timing of repair and maintenance projects. For the 6 months ended, repairs and maintenance expenses are 1% lower than last year. Before turning to the balance sheet, let me make a few remarks regarding our non-controllable expenses for insurance and real estate taxes. Year-to-date, we've made notable progress in these areas and are now expecting to see lower overall growth for the full year 2024 than what we originally expected. On property insurance, we renewed our main policy in May and saw a 10% reduction in our premiums without changing our deductibles or coverage. In our initial guidance earlier this year, we expected a 17.5% increase in those premiums. For real estate taxes, assessed values are coming in lower than we anticipated and we are not expecting an increase in millage rates to counteract the benefits of those lower assessed values. As a result of these benefits, we are improving our guidance, which I will cover in a minute. On our balance sheet, as of June 30, our liquidity position was $418 million, an increase of approximately $129 million from year-end 2023, primarily due to the completion of our deleveraging plan earlier this year. For Q2 2024, our leverage was 6.5x down from 7.2x in Q2 of last year, again, due to the benefits from our deleveraging strategy. We are still on target to be at approximately 6x net debt to adjusted EBITDA in Q4 of this year. We have about 7% of our debt maturing through year-end 2025 with only $17.5 million in maturities in 2024. We also have adequate hedges in place that have effectively converted our floating rate debt to fixed rate debt, such that our debt at June 30 is 100% fixed and/or hedged. In connection with our capital recycling program, we sold a legacy Steadfast asset in Birmingham on July 17 for a gross sales price of $70.8 million with an economic cap rate of 5.8%. We expect to use the proceeds from the sale as part of a 1031 exchange to acquire a property in Tampa during the third quarter of 2024 at an economic cap rate of 5.7%. This capital recycling transaction will reduce our exposure in Birmingham while adding to our Tampa portfolio, a market with an attractive growth profile, as Scott mentioned earlier. With respect to our full year 2024 outlook, we are making some adjustments to our guidance based on our performance in the first half of this year and expectations for the second half of 2024. In particular, we are increasing the midpoint of our full year EPS and core FFO per share guidance by $0.01 per share at the midpoint. The midpoint of our core FFO range is now $1.15 per share for 2024. The higher core FFO per share is driven by higher same-store NOI growth. The guidance updates for our operating metrics are as follows. We now expect full year same-store revenue growth of 3% to 3.3%, which reduces the midpoint by 60 basis points compared to our prior guidance. This is due to the lower blended rental rate growth we've experienced year-to-date as we focus on improving resident retention and occupancy this year. For the second half of 2024, the midpoint of our revised same-store revenue guidance reflects an average occupancy of 95.6% and a blended rental rate growth of 2.3%. With regards to property operating expenses, we now have a more favorable view primarily due to the reductions in real estate taxes and insurance that I previously mentioned. Our revised guidance range for full year 2024 total operating expense growth is 3% at the midpoint. This compares to our previous guidance midpoint of 5.9%. Controllable operating expenses are also now expected to be lower as we have seen lower repairs and turnover costs as a result of having better resident retention. As a result of these changes, we expect that our same-store property NOI growth in 2024 will be 3.2% at the midpoint. That is 28% higher than our previous guidance of 2.5% at the midpoint. This expectation for the full year is one of the highest within the multifamily peer group and is on top of the 5.7% increase in IRT achieved last year. Regarding our other updates to our full year outlook, we are lowering the high end of our interest expense guidance and now expect $83.5 million at the midpoint. For acquisition volume, we now expect a range of $80 million to $82 million for the year, which reflects the 1 property mentioned earlier in Tampa that we plan to acquire in the third quarter, while disposition volume was adjusted to reflect finalization of the previously guided property sales. Lastly, we are reducing our guidance range for value-add and non-recurring CapEx to $77 million, down from $84 million each at the midpoint, reflecting fewer units to be renovated this year than initially expected due to higher resident retention rates. All other guidance, including recurring and development CapEx remain unchanged. Scott, that's it. Back to you.
Scott Schaeffer : Thanks, Jim. With the first half of 2024 now behind us, we remain confident in our portfolio's solid renter demand fundamentals and our ability to execute our 2024 business plan. For the remainder of the year, we will continue to focus on solidifying our operating gains and driving further on-site efficiencies, continuing our value-add renovations, strengthening our presence in our core growth markets and supporting occupancy while optimizing rent growth. We thank you for joining us today. And operator, you can now open the call for questions.
Operator: [Operator Instructions] Our first call comes from Eric Wolfe with Citi.
Nicholas Joseph : It's Nick Joseph here with Eric. Jim, I appreciate the second half blended rate growth and occupancy comments you made in the prepared remarks. So just curious how you're thinking about kind of the reacceleration from your July results in terms of blended rate growth and kind of that strategy of rent versus occupancy in the back half of the year, just given some typical seasonality that we'd expect you to see?
James Sebra : Good question, Nick. We're seeing good progress already for August and September and feel good about hitting the rental rate kind of forecast we put out there. Let me give you a few and let me give all the investors and analysts a few statistics on what we're seeing already for August and September. Regarding new leases, the August trends have improved significantly from what we saw so far in July. So far in August, of our expected new leases that we would expect to sign to hit that occupancy forecast, 54% are already signed at a minus 1.7%, which is roughly 160 basis points improvement over where we were in July. Regarding renewal leases, August and September trends are also outpacing July. For August, 95% of our expected renewals are done at an effective rental rate growth of 5.4%. For September, 78% of our expected renewals are also signed at an effective rental rate growth of 4.6%. We feel good about kind of hitting that -- the rental rates reaccelerating given our goal to continue to kind of drive occupancy.
Nicholas Joseph: That was very helpful. And then you mentioned some of the markets that you're obviously facing new supply competition right now. Can you just touch on the concessions that you're seeing from competitors in some of those markets?
Janice Richards : Sure. So we are definitely seeing the supply pressures in the expected markets such as Atlanta, Raleigh, Nashville and Huntsville, as it's continued through the year. Concessions are ranging on the new development anywhere from 3 weeks to 2 months, dependent upon what phase of the lease-up they're in. Through the July month, we did see a slight increase in concessions being offered that was anticipated just because of the seasonality and the demand being there to capture.
Operator: The next question comes from Brad Heffern with RBC Capital Markets.
Bradley Heffern : Jim, I appreciate the answer to the last question with the additional color on how the new leases are trending, but it still seems like you would need to see another sequential uplift in September to hit the guidance. So any color you can give there about what gives you that confidence? Is it easier comps? Is it something else?
James Sebra : Great. Brad, good question. It's really -- obviously, September is really early so far from a new lease standpoint. We really think that as we kind of continue to push occupancy in July and are kind of at that level that we like, that we should be able to kind of now push rates a little more. As I think, we also mentioned or in Scott's prepared remarks, the volume of new supply or pressure from new deliveries is beginning to wane and that will also help support us driving rents for driving rental rates.
Bradley Heffern: Okay, got it. And I noticed in the footnotes that you did some recent modifications to the JV agreements for the properties under development. Can you walk through how those work, exactly what's going on there and why you made those modifications?
Scott Schaeffer : Sure. This is Scott. The modifications were really related to the 2 properties in Nashville, where we have -- it's not so much a JV, but we have a preferred equity stake where we -- our investment is accruing at 20%. We had a right of first offer to purchase. They're both completed. They're both well in the lease-up. But we could not come to terms with the developer partner, if you will, on what the value was. So we modified the agreement that instead of a right of first offer, we have a right of first refusal, and they've agreed to take it to market before the end of this year. And then we'll basically have a last look at wherever the market then sets the value rather than us trying to put in an initial offering and come to an agreement with the developer. And we did that for both of the Nashville properties. If they don't pay us off, sell the property and pay us off by the end of the year, then we take control and we can sell it.
Operator: The next question comes from Austin Wurschmidt with KeyBanc Capital Markets.
Austin Wurschmidt: Great. Appreciate all the detail on kind of how the third quarter has been trending. So, I guess, if you're on track to kind of hit the revised lease rate growth assumptions for the back half of the year, what does that imply for a 2025 revenue growth earn-in?
James Sebra : Yes, good question. It implies 90 basis points earning for next year.
Austin Wurschmidt: That's helpful. And then just more specifically, I wanted to hit on Atlanta because this has been one of the more challenging markets and obviously, a top market for you guys. Could you just specifically discuss what you're seeing on the ground in Atlanta kind of subsequent to 2Q from a fundamental perspective, as well as just maybe give an update on some of the fraud and bad debt challenges that you faced in that market and more broadly, if there's anything else, any other markets that are relevant as well?
Janice Richards : Absolutely. So I can give you a few stats on the new lease and renewals that we're seeing for August and September in Atlanta. We are seeing improvement over July. Regarding new lease for August, we are also estimating about 55% of our needed leases are already in place and we've seen the new lease rate increase 400 basis points to 500 basis points over what we saw in July. So we're definitely moving in the right direction. For renewals, August, we have 90% of our August renewals in place at a 5.4% versus the 2.4% we saw in July. And September, we're seeing 65% in place at 4.8%. So we're moving in the right directions. We're confident in that market that we've seen improvement and we'll continue to do so. As for fraud, we have implemented in the beginning of this year, we've spoken about it in previous earnings calls, some software that has helped us combat that fraud. We are starting to see the benefits of that now with our lower bad debt percentage that we reported in Q2.
Austin Wurschmidt: That’s helpful. Thanks for the update.
Operator: And our next question comes from John Kim with BMO Capital Markets.
John Kim : You provided a new disclosure this quarter, which is always welcome. This one is on the renovation program, lease rate growth of 6.3%. I'm looking at that versus the historical 20.4% rent growth you've gotten on the renovation program. Are those the apples-to-apples comparisons that we should look at? And if you can comment on why it's not as stronger than it has been historically?
James Sebra : Yes. It's a good question. As I think we've talked about in the past on earnings calls, certainly with investors, you have the premium that we evaluate and we disclosed in terms of the ROIs versus an unrenovated comp. The premium that we -- the rental rate growth that we disclosed was versus kind of the expiring lease. So it's just a little bit of a difference of the 2 basis points. But obviously, the current rental rate is the right way to think about it. And for us, it's always about putting capital to work that really drives that ROI for investors. And looking at versus an unrenovated comparable in our view, is the best way to evaluate it because it removes any kind of market kind of ups and downs through time. And when the market rents are growing, that would inherently inflate the ROI when it's not the true ROI and vice versa with market rents declining.
John Kim: Maybe another way to ask this is, where would that 6.3%, where would that have been 2 or 3 years ago?
James Sebra : It probably would have been 10% or 11%.
Operator: [Operator Instructions] The next question comes from Omotayo Okusanya with Deutsche Bank.
Omotayo Okusanya : I'm still trying to assess what rent growth could look like in the back half of '24. Could you help us kind of understand kind of going into 3Q '24 where you earn in and your loss to lease statistics stand?
Scott Schaeffer : Going into 2025 or going into 2024?
Omotayo Okusanya: Into 3Q '24 -- as of 3Q '24.
Scott Schaeffer : Yes. So loss to lease as of July 31 was 30 basis points.
Omotayo Okusanya: Okay. And then your earn in?
Scott Schaeffer : Earn-in heading into the rest of this year?
Omotayo Okusanya: Yes.
Scott Schaeffer : I don't have that in front of me. I'll come back to you on that Omotayo.
Omotayo Okusanya: Okay. No worries.
Scott Schaeffer : Yes, I also answered earlier, at -- if we hit the kind of the midpoint of guidance, we'll be at 90 basis points earn-in for next year.
Omotayo Okusanya: Okay. And then in terms of just asset sales, again, the recycling program is over, but again, you did identify one new asset as part of your capital recycling program. How do we kind of think about that going forward of continued capital recycling as a source of capital?
Scott Schaeffer : For the balance of '24, we have 1 asset remaining in Birmingham that we are considering. We haven't made a decision yet. We are considering trading out of. And then in 2025, it will depend on how we see growth in each individual market where we want to expand and where we may want to contract. But we had 2 assets in Birmingham. We sold one. We're redeploying that capital, as we said, into Tampa. That leaves us with 1 in Birmingham, and it's never ideal to own 1 community in a market. So it's one we're looking at closely and determining when -- if and when we should be trading that.
Operator: Our next question comes from Mason Guell with Baird.
Mason Guell : Thank you for giving some color on the improvement in Atlanta since July. Can you talk about any other markets you expect to maybe improve a little in the second half of the year, which might soften a bit?
Janice Richards : Sure. I think we'll definitely start to see and have seen some improvement on the occupancy side with Raleigh and Charleston as we start to see the new supply start to ebb. So those are some markets that we'll see ultimately, just in the Sunbelt, we're seeing improvement as the supply pressure is weighing slightly through the rest of the year and into '25.
Operator: Thank you. That does conclude the questions. At this time, I would like to turn it back over to Mr. Schaeffer for closing remarks. Please go ahead.
Scott Schaeffer : Thank you for joining us this morning and we look forward to speaking with you in October, I guess, for our third quarter earnings report. Thank you, everyone.
Operator: This concludes today's conference call. You may now disconnect.